Operator: Good day and welcome to the Ur-Energy Third Quarter Teleconference and webcast. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please also note this event in being recorded. I would now like to turn the conference over to Penne Goplerud, Corporate Secretary and General Counsel. Please go ahead.
Penne Goplerud: Thank you. Good morning and thank you for joining us today for our third quarter 2015 teleconference and webcast. We are required to draw the attention of all of our listeners to the legal disclaimers contained in this morning's slide presentation, which apply equally to our oral presentation today. At Slide 2, you will find legal disclaimers, with regard to forward-looking statements, risk factors and protections as well as other cautionary notes to U.S. investors. We ask that you read and consider these disclaimers carefully before investing in our shares. As well risk factors inherent in forward-looking statements and projections are set forth and discussed in the company's Annual Report on Form 10-K, filed March 2, 2015, with U.S. Securities and Exchange on EDGAR and with securities regulators in Canada on SEDAR. I would now like to introduce and turn the webcast presentation over to our Chair and Chief Executive Officer, Jeff Klenda.
Jeffrey Klenda: Thank you, Penne and again welcome everyone we appreciate you taking the time to join us today. We know that you’ll all have busy schedules and in deference to those busy schedules we are going to inebriety keep this to about half hours depending on Q&A, but were we hope to be very, very brief in our comments and quite yet. Continuing on with the theme we began really in the fourth quarter of last year and that theme was delivering performance in the post Fukushima environment. We began that dialogue in the fourth quarter and its amazing how quickly year is on already closing in on year end and as I reflected on that is amazing how even more quickly it seems that decade as gotten into - as we have progressed as a company. But what we are going to be doing is that we are going to be utilizing the same format that we did last time we received a number of very positive comments by having our executive staffers give there individual department reports, everything that is important that’s you hear from the individuals that are overseeing these individual partners and allowed you to ask them questions directly on various of the company to say oversee. So I will make some preliminary comments and then we will move forward to Steve Hatten will give you an operational updates on the company. But you should all be now on Slide 3 and again in keeping our past webcast. Those of you who know our company I believe should understand that if you understand these four bullet points presented on this page you really understand our company it has been one of our stated priorities since the fourth quarter of last year that during and throughout 2015. We’ve continued to focus on bringing loss straight forward as a reliable low cost producer and it not only excuse me do we believe we have been successful and doing that. When I think that loss free cash further demonstrated that its really an exceptional property and in our view and my view to only by [indiscernible] facility, but achieving steady state production there and some that’s very high on our listed priorities and we are now in our ninth consecutive quarter and we believe that we are demonstrating greater efficiencies with each quarter that’s goes by but I don’t want to Steve Hatten go here from in a just few minutes. Beyond that resource growth and the advancements of our Shirley Basin project or two of our other very high priorities, Jim Bonner will cover all upon those for us but one of the things that we think is incredibly important as a company is that we demonstrate as we have stated before that we can grow our resource. We have always said that Lost Creek is a very scalable property and I think that we have demonstrated since Fukushima in the post Fukushima environment that it is indeed very scalable property and we have achieved excellent organic growth there in fact at the of Fukushima we had a little over $6 million pounds at Lost Creek to date. We are a bit in excess of 16 million pounds and that’s net of the production that we've achieved there. Beyond that Jim will be taking you through current status on Shirley Basin. We have an application there that is nearing its completion that we will be ready to submit to the regulators in the weeks ahead. So I'll let Jim update you on that. And finally on the fourth bullet point as you all know it is very important to us to be able to enter into long-term sales agreements to continue to protect our shareholders and de-risk our company. Moving on to Slide number 4, here is the snapshot of Ur-Energy's share capital and cash position and for those of you – who follow our company closely you will recognize here that the $130 million shares outstanding is essentially the same as it was at our last quarterly webcast there’s been no appreciable changes. And I think that we all recognize that these are very trying times and it would be easy to feel picked on. But fact of the matter is that in all of the extractive industries it is very challenging, they are characterized by low prices and those low prices have unfortunately persistent. In general it’s my feeling that anyone can issue shares in a company I believe it’s real talent and the real challenge is not issuing shares. And we feel that we have been very successful in executing on our business model without destroying our capital structure. Moving on to Slide number 5. This is really I think the most critical slide that we present in the slide deck. And this is something that has been an initiative of our company since 2011, as may of you know, we have been actively putting long-term sales contracts in place with United States utilities since the beginning of 2011 and we continued during that year. This is critically important to de-risking our company and understanding who we are as a corporation. Last month if you take a look at the first bullet point there, we - for the first time gave guidance to the market through the reminder of the decade in which we indicated that we have roughly 2.8 million pounds, 2.9 million pounds that are under contract and an average price of $49.60 from beginning of next year 2016 through to the end of the decade 2020. This has significantly de-risked our company in our view. You also notice in the – under the second bullet point that we have two years defined there 2015, which we have now delivered all of those 630,000 pounds at an average price of $50.10 resulting in gross revenues of $31.5 million. Also in 2016 last month, we guided that we will be selling next year 662,000 pounds under contract at an average contracted for a price of $47.61 again resulting in $31.5 million at gross revenues. And I would like to point to you that those numbers are not accidents. We have felt that we need to have a base level of revenues to properly secure our company and to de-risk the company for our shareholders and for the ongoing survival of the company. The simple fact of the matter is [indiscernible] states, markets can remain in logical longer than you and I at times can remain solvent. And it’s really I think instructive to look at other industries that are going through difficult times right now characterized by low commodity prices. We need to look now further than the oil and gas industry, where we see that over in just the course of the year. Blue Sky have essentially evaporated and really the question for these companies becomes do they have cash flow, have they protected themselves with hedges or off-takes and are they capable of continuing to operate as service debt and survive as a corporation. We think that these things and particularly in this environment are absolutely critical to the company. And so these are the things that we will focus on and we’re very pleased to have this in place. Now having said that I don't want people to come way with the impression that we are negative on the market, if you're looking at - you are now looking at Slide number 6, this was disappeared in the EIAs annual report which was released in April, but by definition when we deliver our product, our 850 pound, 875 pound drum with yellowcake to our [indiscernible] typically for the utilities they are very forward looking, they must look three to five years out, because from the time that we deliver that yellowcake to the time it goes through conversion, enrichment and fabrication becomes a usable fuel rod assembly is about 3 to 3.5-year process. So when you look a the slide it becomes very, very relevant, the fact is that the utilities at the present time actually do have quite high near-term inventories, but as you can see from this graph, this chart that the blue areas signifies their uncontracted for requirements and this is something where we believe they cannot stay out of the market much longer and in fact we had an event a yea ago when one utility in particular arrived at the NEI Conferences which took place in Washington DC and announced to rest of the conference that they have purchased 10 pounds over the six weeks prior to the conference. And it really turned the conference on its ear and what it did it stimulated a tremendous amount of buying by the other utilities. So sometimes it takes the events like that to kind of push these utilities into the blue if you will looking at the chart, but I think that there are been able to avoid longer term contract and are coming to an end and we think that increased activity will result in higher prices and that’s the forward-looking statement of course, but we certainly believe that’s the case. So with that those are my preliminary comments and I would now like to turn this over for an operational update to Steve Hatten, our Senior Vice President of Engineering. Steve, go ahead please.
Steve Hatten: Thanks Jeff, I appreciate it. So we are Slide 7 now, Lost Creek development status. First, we would like to talk about the Drilling and Mine Unit 1 all of the injection and production wells have been installed for that area. This work was completed in April of 2015 and as allowed for surface construction to proceed without the complications of working around the drill rigs also the wells that are contained in the 13 header houses in Mine Unit 1 or these wells will support the 13 header houses in Mine Unit 1 of which only 11 are in operation at this time. Looking on to Mine Unit 3, production well insulation was initiated in July of 2015 with three drill rigs, work is primarily been in header houses 1, 2 and 3 of Mine Unit 2 approximate 26 patterns in each and is moving from the pilot phase through casing, completion and testing of wells for mechanical integrity. In addition, there has been some drilling associated with Mine Unit 2 well installations for the overall Mine Unit. Finally under drilling and Jim Bonner will touch on this later in greater detail. We had an exploration program earlier in the year, it was a two phase exploration program which began in February of 2015 and was completed in the third quarter of this year. The total program consisted of 150 drill holes in areas of the project where the fronts have been mapped and requires some further development and defining. As I said before Jim will be discussing the results of that program in a few minutes. Let’s go on to Mine Unit construction status and let’s talk about the construction of the header houses in that area. Header houses 1 through 11 are complete and operational. The first house was started in August of 2013 with subsequent headers houses being brought online is necessary. The most recent house, header house 11 was started this September. Header house 12 constructions is nearly complete and is expected to be brought into operation in November of 2015. As for Mine Unit 2, construction on the primary pipeline and powerline for the first few header houses is in the final planning stage and will begin in the last two months of 2015. Design and procurement for the initial group of header houses is underway with constructions scheduled for 2016 based on production needs. Rich, could you take us to the next slide please. Thank you. So here we are going to talk about production results, as far as our U3O8 production, please note the quarter-over-quarter up unit the third quarter of 2015, you will see a continued increase in all three primary production categories. The decrease in production in Q3 was associated with the break-in header house installation to allow for pipeline and power line construction in the Southeastern portion of our first mine unit. These in conjunction with the normal grade decline curve associated with ISR production as accounted for dip in captured and drum pounds. This trend can also be in the gradual decrease in average quarterly great overtime. Operation of header house 11 however is already begun to rebound the total production with 63,440 pounds captured through October 28 of this year an average of almost 2400 pounds per day captured during this recent time. As of October 28 year-to-date the project has captured 635,000 pounds as well as drumming and shipping 602,000 and 609,000 pounds respectively. Now with respect to the plant systems they are all functional with normally occurring is necessary they are our reverse osmosis system has been tested for use in his functional. However it's not being used at this time due to the continued high elevation or they continued high production grade that we’re seeing and the associated production flow rate. Once we get in the restoration the – will be put into service on a regular basis. And as we always talk about waste disposal system all three waste disposal wells are functioning and are being utilized to dispose of plant wastewater. The storage ponds are also being used in conjunction with the waste disposal wells to average up the waste stream before feeding the well. Rich, the next slide please. The former slide for me Lost Creek operational results and this really tell the whole story for us I believe. We look again at the top table U3O8 production we note that year-over-year you’ll see a continued increase in the caption and drum pounds, not shown in this table is the year-to-date 2015 caption drum pounds at 635,000 and 602,000 respectively, which already in three quarters is more than in 2014. Even more important is the continued reduction in cash costs over time starting at 21.98 a pound in 2013 and currently at 15.19 pound Q3 of 2015. The average year-to-date cash cost per pound is 16.66 for the nine months ended September 30, 2015. This is again more evidence of continued refinement of the production process and the ability to produce that low-cost or steady-state operation. Following the bottom table on revenues from operations as Jeff is stated earlier in the call Lost Creek has been able to maintain and revenue stream from its operations even in this challenging market. The marketing team is provided lost Creek with contracts that have allowed us to deliver pounds and into approximately $50 contracts from 2013 through today's date and on in the future. Finally before I let go I will be remiss by intake time to thank the hard-working staff and all of our offices and particularly at the mine site for their efforts and making sure that we bring our product to market reliably and a low-cost. With that, Jeff, back over to you.
Jeffrey Klenda: Great. Thank you very much, Steven and I would just make a couple of follow on comments you will note that as the bottom of that slide deck that our severance and ad valorem taxes were up on the quarter, Roger Smith is going to address that when he covers the financial results and I hope that all of you will appreciate that these quarter-over-quarter variations are actually quite normal, but again as we always asked give us the enter year and look at us in the – I think and what we are going to demonstrate here this is a excellent year and looking and so with that we had more exciting things to talk about and of course under the category of resource development. And with that, I will turn it over to Ur-Energy Senior VP of Exploration Jim Bonner. Jim if you will, please.
James Bonner: Thank you, Jeff. I would like to take a couple minutes to discuss some excellent resource growth with experiences your Lost Creek. As Steve pointed earlier this year all wells were installed Mine Unit 1. At that time Mine Unit 1 resources were updated based on the final drill hole data and independent 43-101 Technical Report was published to disclose these resources. Within Mine Unit 1, this report documented a net increase of 1.3 million pounds of measured resources. Now we save net resources because you are in a unique position were it’s actively mining its resources in order to accurately report in place resources produced from Mine Unit 1. In order to report in place resources produced pound for Mine Unit 1 must be subtracted from the resource total. At the time of the resource update in the technical report nearly 1 million pounds of resources and have been produced for Mine Unit 1, since it’s started up in August 2013 after subtracting this production Mine Unit 1 resources, still increased 55%. Another important aspect of the July 17 technical report was the justification for lowering of the GT cut-off use in resource estimation from 0.30 to 0.20 this was done to reconcile higher-than-expected production from Mine Unit 1. This new GT cut-off is factoring into Lost Creek property resource updates which I'll discuss shortly. In 2015 you are completed 150 whole exploration program immediately south and adjacent to Mine Unit 1, this program was designed to evaluate previously identified mineral trends with the goal of replacing pounds produced from Mine Unit 1. This expiration program was conducted in two phases with the first phase completed in the first quarter of 2015; 121,000 pounds of major and indicated resources at 296,000 pounds for inferred resources were delineated with this drilling. The second phase was completed in the third quarter and resource estimations are currently being evaluated and compiled. Although final resources from the two phase program have now been tallied. Preliminary results are quite encouraging. This program has demonstrated that exploration drilling can play an important role in the growth of resources in Lost Creek. Steve also described mine unit construction activities at Mine Unit 1. Over 200 wells have been drilled within this mine unit in 2015. As demonstrated earlier Mine Unit 1 closures based higher density development drilling can have a positive impact on resources. Within Mine Unit 2, this drilling issuing excellent continuity of mineralization and has anticipated that it updated resource evaluation will result in increased Mine Unit II resources. UR has currently updated the higher Lost Creek property resource base, using the revised 0.2 GT cut-off. Applying value lessons learned from mining operations in Mine Unit 1 to all Lost Creek resources will result in resource growth across the entire product property. Once revised an updated resources are completed from exploration activities, Mine Unit 2 and the overall property and updated preliminary economic analysis will be issued. I want to say a few words about the status of our Shirley Basin project. The photo on the slide shows some re-contoured and reclaim surface mine lands on one of our primary resource areas. In some cases the shallow deposit was actually made a little bit more shallow by some of this re-contouring. The independent preliminary economic assessment published in January of this year reported 8.8 million pound of resource averaging 2300 Q3 2008. This is one of the higher grade uranium deposits in this country. Ur team has been working hard to prepare permit applications and we are excited to get this rig growth rate process started. And so that’s our update with Shirley Basin and back to you Rich.
Richard Boberg: Great, thank you Jim. And I would just make a couple of comments first with respect to resource growth and that is that I would emphasize that once again what we are so excited about is that our resource growth is coming about as a result of our production experience and that is a critical difference from resource growth through acquisition or other means. So the fact that we are growing these resources in and around Lost Creek area in our view means that they are the highest level of resources that you could be adding. In addition to that with Shirley Basin, the other thing that I would simply like to mention is that for this year and for the next two years advancing this project is going to somewhere between $1 million to $1.5 million a month and so it is not a burden on our budget and something that we feel that it is very important to advance in anticipation of the inevitable turnaround in uranium pricing. So we are going to be submitting that in the next of couple weeks and we are looking forward to having that in production in the next couple of years. So with that we will move to what I know you are all been waiting for and that the financial result. And so with that I’ll turn this over to Ur-Energy's, Chief Financial Officer and Chief Administrative Officer Roger Smith. Roger?
Roger Smith: All right, Jeff thanks a lot. Boys the fine print in the small numbers and good results we hope. As Steve indicated our production levels and related costs were relatively consistent during the quarter as we drummed approximately 60,000 pounds per month. Our cash cost per pound sold decreased to $0.96 or 6% during the quarter, so the direct result of having more consistent production and cost which is one of the things we’ve been striving to do. Our sales of 150,000 pounds during the quarter consisted of one term sale of 100,000 pounds at 66.71 and one spot sale of 50,000 pounds at 35.75. This generated revenues of $8.5 million all of which was collected during the quarter. The average sales price as shown on the slide was 56.39 for the quarter. Our cost of sales for the quarter was 4.2 million on a per pound sold basis our cash cost decreased from 16.15 to 15.19 during the quarter. At the same time our total cost decreased from 28.98 to 27.87 per pound. And as you can see from the slide and Steve’s presentation our total cost per pound sold has been trending down. Because of these higher average selling prices and lower cost per pound sold, our gross profit per pound increased to 28.52 during the quarter. The resulting gross profit was about 4.3 million or a very pleasing 51% gross profit margin. Next slide please. Thank you. Inventory increased just below 200,000 pounds as we continue to build inventory during the quarter. This included 72,000 pounds in process, 22,000 pounds of dried and drummed material at the plant and 103,000 pounds of finished product at the conversion facility. The cost per pound at the conversion facility increased slightly from 27.37 and 29.43 during the quarter. This was composed of severance and ad valorem taxes at 299, cash cost at 16.50 and non-cash cost of 994. The increase will result to slightly lower production combined with higher severance and ad valorem taxes for the period. Severance and ad valorem taxes are value based and higher average selling prices for the quarter translated in the higher taxes during the period. In addition, we were informed that taxes were been increased which resulted in an increase to the ad valorem taxes included for the year. We only paid the ad valorem taxes twice the year since that we included over a long period of time and so we had basically retroactively addressed are accrual for those ad valorem taxes due to increase Let me make a few comments about our year-to-date results. Our year-to-date revenues $34.1 million were the result of selling 700,000 pounds and an average price of $48.65 as consisted of term sales of 580,000 pounds of $51.22 and spot sales of 120,000 pounds at $36.19. On the cost side our year-to-date cost of sale was $23.4 million or 33.37 per pound, which includes the higher-priced purchase product from Q2. Excluding the purchased material our year-to-date cost per pound sold was $30.97. Year-to-date gross profit were $10.7 million which represents the gross profit margin of just over 31%, compared 2014 our operating expenses are down across the board as we are attempting to hold overhead costs in check. And as a result we had year-to-date operating profit of $0.3 million. The company is still in a net loss position for the year after deducting interest in other non-operating costs. However we are pleased to report that we generated $5.7 million in cash from operating activities and also because our capital expenditures are minimal our year-to-date free cash flow now stands at $5.6 million. Looking ahead of bit as add into Q4 we have one lower-priced contract sale remaining depending on the spot sales we make we expect the average sales price during Q4 to be much lower than Q3 result. Assuming production level costs are consistent with previous quarters we would expect that our cost per pound sold should be similar to the cost per pounds that is currently in an inventory which is just below $30 per pound. With therefore do anticipate lower gross profit margins during Q4 however for the full year we expect our gross profit margins to be between 25% and 30%. In closing, we’re very pleased to be reporting these lower costs per pound figures for the quarter and help to reports similar figures in Q4. And with that, I will turn it back over to Jeff.
Jeffrey Klenda: Great thank you Roger and moving on now to Slide 14 I have bullet pointed some additional consideration just these are intended be and anticipation of questions that might come under these topics, but before I get into the slight correction when I was discussing Shirley Basin I believe I miss spoke and said that our budget for the next two years within between $1 million and $1.5 million per month obviously I met for the year so that is not a monthly expense within troubled that is an annual expense so once again the very – as far our budgeting is concerned. But moving onto the additional considerations one of the things that we want to emphasis is that we feel that we run very lean and clean as company. We are consistently reevaluating the corporate structure and returning and lowering cost wherever we can and trying to achieve greater efficiencies. And I think our staffers have done excellent job of that. Beyond that with respect to long-term sales, I am frequently asked how addressably we are entering into new long-term sales agreements. We really do not have anything beyond 20.21 at this point although we are beginning to look at some of those long-term sales agreements, but it is not a high priority to us at this time. We are always opened to adding to our book, but only at prices that we feel meet our objectives. We have very specific targets in mine as a sub $20 producers even with ad valorem and severance taxes at $50 we maintain very healthy margins in the $30 range not on all in basis but on a cash and sustained development basis so we will be selective about pricing that we are willing to except out there in the marketplace. As far as M&A activity is concerned this is something that I we get questions on consistently and for those of you that our not just observe but active participants in the Uranium space. What you have probably identified out there is very simply put almost unprecedented level of activity taking place between the remaining Uranium players. There has been desire I think legitimately over the course of the last 4.5 years now since Fukushima and even before that. To see consolidation in this industry and the fact of the matter is – should giving your wish. The industry has shrunken considerably since the heavier times in 2006, 2007. And right now there almost seems to be something of a scramble taking place where companies are seeking to align themselves with other company's for their longer-term survival and well-being and entering into strategic alliances and beyond that perhaps even consolidations. But I think that this will be the order of the day and something that will continue to characterize our industry for the foreseeable future. With respect to our company’s need for additional financing, eyebrows out there a bit tongue-in-cheek. But I would like to remind you that it was stated into the marketplace in January of 2014 that we needed to do an equity financing beyond stated it was almost decreed. We are now are 22 months beyond that decree and in our 23rd month and I can tell you right now cash flowing at the level that we are - we have no need in foreign equity financing and there is none contemplated. As you all know we are actively engaged in discretionary spot sales and/or we are building inventories. And one of things that I wanted to mention with respect to the inventories that we build is that we intent to take one or two forms either they are in-house or in-circuit inventories where essentially those pounds reside in the various circuits within the plant or what is more likely when we identify inventories is that they are pounds that have already been filter, pressed, dried and canned and shipped to our converter at Converdyn and where they are then entered into book entry and are available for immediate sale. So it is our practice that when we make a spot sale out of book entry at Converdyn that we are on a five day receivable. And so I think it's important to emphasize that our inventories are not in the form of ore sitting on the pads somewhere they need to be processed. Our inventories are in book entry and can readily be converted into cash. And so with that you know what our corporate priorities are at Lost Creek and the increase of our efficiencies and our pounds there and an advancement of Shirley Basins applications. So with that I will turn it back over to [indiscernible] let’s open it up for some Q&A
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from David Sadowski of Raymond James. Please go ahead.
David Sadowski: Hey, guys, first of all congratulations on the Q3 performance really good cash costs in the quarter. Can we talk about some of these income statement items maybe it’s a question best for Roger but I noticed G&A came out significantly and that's great on the quarter. But how can we expect expiration and development spending to evolve in the coming year and what's the minimum annual development expense that will be required to maintain production near Carlos.
Roger Smith: Dave thanks. I’ll take those questions. The exploration budget will vary depending on what programs we’re going to do. The holding costs for a property is obviously BLM claim maintenance fees and that type of thing run approximately 4,000 to 5,000 a year. On top of that we have the staff and their efforts and the rest will depend on what we do. It will obviously vary, but I don't see it changing a lot year-on-year unless we attack big programs. Similarly on the development expenses, they will vary for instance last year we drilled a deep disposal and we spent nearly $3.5 million inside of just about two quarters, we haven’t done that this year. But we have ongoing development expenses for the development of our well field and the construction of those header houses which we expense on a regular basis. And it will again vary depending on the timing and the amount of production that we’re going to be achieving. This year we’re not spending too much but we have had drilling activity going on in the last two quarters of this year, which accounts for most of the increase that you are seeing in Q3 over Q2. I think about 1.9 million that was in the quarter probably about 1.5 million for Lost Creek; the rest of it was primarily for Shirley Basin. And as Jeff mentioned we don't tend to spend much money on development expenditures for Shirley Basin over the next couple of years as we go through the permitting process. So again the development expenses will depend on the amount and effort that we are putting into developing the new mine units and constructing header houses. I don't see them being much greater than what was presently incurring, but again that will depend on the ultimate production plans that we develop as we go into the budgeting season for 2016.
David Sadowski: Okay, great. Thanks very much. And maybe one for Jeff here. I’ve seen all the EIA data, the U.S. EIA, what are you hearing in your discussions with the U.S. utility for the past couple of months here. Are you getting – are they getting ANC at all with respect to that long-term coverage level or they completely content with using these – this mid-term products being offered by the traders?
Jeffrey Klenda: Well, you are hitting on something that really is let’s call it near and dear to our – in fact is that we are competing directly with the traders who are actively engaged in the carry trade. And that’s a difficult competition, because what it does is that it almost renders the term price meaningless in the near-term and while the utilities, their stated positions are that they are flush with inventory in very near-term and actually I have little reasons to doubt that. We are at the NEI Conference in Beaver Creek, we met with upwards of 1012 of the utilities during that conference and pretty the much the same story came out of each and every one of them. But it’s interesting, as I pointed out last year at this time when one utility came into the marketplace and announced at the NEI Conference that they had purchased 10 million pounds in the six weeks prior to the conference it really caused a panic among those same utilities that over the months prior to that had told us the same thing. We are flushed with the inventory, and sale force coming into the market anytime soon. And so some times it takes events like that to push them into activity. Right now I would say that there across the board will state that they have no urgency, but if the EIA numbers are to believed they actually got far greater needs that are uncontacted for and I don't think that it takes much emphasis to actually push them into that blue area and force them to come into the marketplace, so they may state that they have ample inventories, but I think that we all know that they're actually somewhat lacking and when you go out to the mid-term into the 2017, 2018 timeframe they are actually getting a bit uncomfortable with their unencumbered positions.
David Sadowski: Okay, great. Thanks very much.
Jeffrey Klenda: You got it. Thanks David.
Roger Smith: Thank you.
Operator: And our next question comes from Heiko Ihle of H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey, congratulations guys on the quarter, well done Jeff.
Jeffrey Klenda: Thank you.
Heiko Ihle: You mentioned on the release that the extra production does not sold to the existing contract will leads to those inventory needs, [indiscernible] sounds like this before. Just sort of walking through given what we are in the market right now, how much – what’s the maximum inventory that you would be willing to keep on hand given like I said current prices?
Jeffrey Klenda: I think what I would say there Heiko that’s a bit of a moving target for us. The thing is that when you are talking about inventories I think that there something that needs to be distinguished. First of all when you are talking about the cost of building inventories, the fact is that the actual cost of maintaining those pounds at [indiscernible] are quite low. Those are non-significant cost to us on a month-over-month basis, but now when you are talking about building those inventories, there is a very little cost to that production and when you are building inventories and not receiving cash flow for it obviously as a small company we can only offered to build inventories so large before it doesn’t make sense for us to build them through large retailer.
Roger Smith: Yes, I’ll just add couple of things to that, our additional cost let me just also remind you that many of our cost are fixed in nature and so if we can produce more pounds and virtually the same money I would rather do that and build inventory than not do it. So we’ll take energetically inventory build if we can, but we wouldn’t want to make it to excessive either on the other hand. And so that’s why I was alluding to before we will discuss our budgeting plans for next year and part of that will be our production plans and those will retained driving how much will produce to meet our contractual commitments make sure we have up pounds and reserve respond sales for need them potentially build inventory.
Jeffrey Klenda: Yes, one other think that I would mention kind of – up forces that as you will know when you first enter into contracts during that first you don’t really think about when the utilities are going to call for delivering of results. We struggle through 2014 with some lumpiness of cash flow and also experience that first half of this year. What we really focused on over the course of the six months is not only out our deliveries in the second half of this year and throughout 2016, but we really and this is covered very thoroughly in our board meetings, our quarterly board meetings last week. But we have some discussion in terms of when we make development expenditure and so we are going to try to be smart about how we spread those out and throughout 2016 and make them co-inside with our deliveries in our income. One other thing that I would like to mentioned that I neglected to when we talked about the company’s financial position is that we did there it was contained in the press release we did workout an agreement with our bankers that Rand Merchant Bank, RMB they have been critical to us. We have spread those out that with there was lump some payment do them at the end of the first we announced spread that through 2016. Once again all contributing to very smooth and we think very well laid out here for next year.
Heiko Ihle: Gotcha. So those are already extends for small side pretty share some sort of [indiscernible] very briefly your unrestricted cash position was $3 million walk us through what we should model at by the end of the year given the sale of that you have a steady all fill them.
Jeffrey Klenda: I am release them figures and so I am kind of elected to that I am sorry.
Steve Hatten: Well, we are really prohibited from doing that but as Roger stated we are really what I think to be model in the fourth quarter something closer to current sport market we are making spot sales we’ve made virtually all of our high priced term contract deliveries through the third quarter. So I would simply leave it up to you to look at current spot pricing and we are trying to be opportunistic there. We see a good momentum in spot pricing and we take advantage of that elect quickly and we turn indication cash quickly. So I think that we are in a position now where we’ve got even now as you accurately point out we had less than $4 million coming out of the quarter. And no one living hand them out but candidly we feel that very fortunate but we have the luxury of living hand them out we would like have rigor room in the treasury naturally but we have we are quite comfortable in our efficiency and our guys are demonstrated that they are very consistent in put it and so while we are running a bit lean right now I will take our position over that of our period all day long.
Heiko Ihle: Jeff to ask potential question was actually asking with putting in those works. Well done thanks guys.
Jeffrey Klenda: Thank you.
Operator: And our next question comes from Michael Wichterle of Cantor Fitzgerald. Please go ahead.
Michael Wichterle: Hi, Jeff congrats to you and the team for great operating results.
Jeffrey Klenda: Thanks Mike.
Michael Wichterle: My question is actually largely just answered previously but keeping with the inventory theme could you just tell us with the with the inventory capacity at [indiscernible]?
Jeffrey Klenda: Now what Steve that something you may address but this never been anything that we’ve concerned us.
Steve Hatten: Yes, it’s not really relevant to our production level I wish it was that’s not really the case there so I don’t se with in our general structures being a problem.
Michael Wichterle: Very good. Okay thanks very much.
Jeffrey Klenda: Thanks Mike.
Operator: And our next question comes from David Talbot of Dundee Capital Markets. Please go ahead.
David Talbot: Good morning guys. Thank you for the calling here, it looks like per quarter about 180,000 pounds of sort of your breakeven sales rate to cover sort of all corporate costs. Any plans to sort of maintain those levels not really coming out this from an inventory standpoint. But more from a I guess from an earnings standpoint something to level out those lumpy earnings. Would you consider being less opportunistic on the spot cells maybe just give up a little bit pounds - dollars per pound in order to sort of maintain those earnings?
Roger Smith: I think that – I will give you a little insight into the Board room as of last week of course these are all things that we discuss and really one of the central questions in last weeks Board meeting was what is the optimal level of production for our company. And it’s very, very relevant question because you all know that we - as detailed we have 662,000 pounds that we will delivering into the marketplace at just under $48 a pound. There is a lot of moving parts to all of this and as we scale down production and which by the way we have the ability to deliver 200,000 of those pounds to it’s final destination without producing them and it can be sourced from anywhere and so it gives us still greater latitude in terms of the number of pounds that we need to produce. We feel very strongly that we have the ability to step on the gas if you will and increase production. But is it the right time to do that and that’s really becomes a function of what spot pricing is out there in the marketplace. So it really is our sincere intention to not only strategically determine what is a good equilibrium level of production for us. But to pursue that and then been nimble enough off to respond to market conditions and take production up or down accordingly. I don't know that answers your question but [indiscernible].
David Talbot: Yes, now to a certain extent it’s hard to focus on saving a buck or two on costs and then just sort of give it away when you are selling these things. So, okay and well I guess there is a question for Steve. That sort of break you took in Q3 when you brought header house 11 online. Is that something that you'd expect to see in between header houses going forward? You are trying to balance servicing these contracts with bringing new production online but if you don't bring on these header houses quickly enough your grades tend to drop?
Steve Hatten: Sure I think that was more related to just this year than anything else. As we were changed, we were moving from one area of Mine Unit 1 to another area of Mine Unit 1, we required a greater than normal construction period. That was built into this year. And associated with that I think we saw production take a short dip there. I think that in the future we’ll learn from that and that will plan accordingly. So that that doesn't effect and we get we get smoother production curves throughout the year.
David Talbot: Yes. And I think that'll just naturally happen once you have more well fields in operation?
Steve Hatten: Sure.
David Talbot: Thank you very much.
Steve Hatten: Yes, the last well field to have the - more it affects the overall production.
David Talbot: Okay. Thank you, guys.
Steve Hatten: Great, thanks, Dave.
Operator: And our next question comes from Daniel Alvarez a Private Investor. Please go ahead.
Unidentified Analyst: Good morning. First I would like to say that I am very pleased how this company is being managed under very difficult circumstances in this commodity area. But my question and comment is regarding the share price. I realized uranium juniors are trading at or near all-time lows. But near $0.50 a share and sub 100 million market cap. In my opinion there's just no way that we’re trading anywhere near fair value considering our production, debt, assets in the ground proven track record medium-term value of production assets. I mean if you take a company like UEC that has nothing in the ground, no production and is continually diluting shareholders, even they have a higher market cap. So I kind of consider you guys the best in production and engineering management in the business along with Canco although obviously the different level. One of my concerns is that we really don't have the proper IR division to get this message out to the investment community get sort of like the piece it’s missing. And I know that you're focusing on operations and you probably figure that out that the operations will eventually pay off and I understand that, but I still think that we need that piece and I’d like to know what you guys have planned or can plan to do to improve this moving in 2016?
Jeffrey Klenda: I think this is a fair question and thank you for the kind words, but let me emphasize first of all you touched on a number of topics there. With respect to our current market capitalization if somebody would have told me in 2007 when we had a market capital of nearly 400 million and the stock is trading at just under $5.50 a share that we would get into production and become one of the lowest cost producers in the world and trade at under $0.60 I would have through that an impossibility. So I think that it’s something that we all have to deal with right now. It’s difficult for me to see to other companies and their valuations in the marketplace. As I mentioned earlier, if you look at case like the oil and gas industry that has falling apart and disintegrated a little more than a year with its precipitous drop from $100 per barrel down to where it is now. One of things that has happened in that process is that the willingness of investors to pay for Blue Sky or the future of side of those oil and gas company is something that’s just evaporated and stripped away. And what we are seeing in the extractive industry is that more and more cash value and sustainability, cost structures at the end of the day survivability is really what counts. As to the IR and our intentions as a company I will concede that there are our peers that I can tell you right now spend year-over-year somewhere between 10 and 20 times when we spend. And the fact is that over the course of the last 2.5, 3 years as we have been engaged in the build-out, free operational inspections and then commissioning of the plan and now we are refining its efficiencies as a company. Most of our excess cash is frankly going into the ground and things like that been disposed that Roger mentioned earlier. It is absolutely our priority to increase our IR efforts; you will see that we will have a much greater presence in the marketplace in 2016. And let me be very candid about something here, frankly over the six months as we have seen the equities in all things natural resource drop so precipitously. There has been a real reluctance on the part of the funds to reach out and trying to catch that falling knife if you will. And so we have pulled back from marketing during that period of time, because frankly we haven't seen that there has been much of an audience and we though that those dollars could be better deployed elsewhere for example in our development at Mine Unit 2 or in the growth of our resources. So now that we are getting many of these things behind us there will be an increased emphasis on the IR and on the promotion of the company. I’ll be honest with you, we are not the most promotional company out there, we have sell that our performance and our production should do our talking for us, but as we all know this is a marketplace that thrives and unfortunately at times prioritize Blue Sky over performance and sometimes we cannot. We certainly take your words so hard and you will see an increased effort in our promotional activities. We are pretty much up against and I hope that answers your question.
Unidentified Analyst: Yes, certainly.
Jeffrey Klenda: Thank you very much. We are pretty much against time that I think that we still have a few callers that we would like to take so if nobody objects we’ll go ahead and we’ll extend per se another five to 10 minutes and take few more callers.
Operator: Yes sir. Our next question comes from Geoffrey Scott of Scott Asset Management. Please go ahead.
Geoffrey Scott: Good morning. Two part question. First part, what do you think your sweat spot is for long-term contracts in terms of the size and pounds per year and the number of years duration, is just 50,000 a year for five years or 100,000 a year for 10 years. What do you think your sweat spot is?
Jeffrey Klenda: You know what we like there is first of all those are things that we don’t often influence the utilities were put out there RFPs are request for proposal and they will be very specific in terms of their duration and the number of accounts that they are seeking. So what we do as we have been to those RFPs. And for us I think most of our long-term shareholders know. In 2011, we were locking in three and four years contract that over $60 of pound we are roughly 100,000 pounds in size. That continues to pretty much characterize the marketplace some of the utilities are – and what they are looking for but for us as I mentioned earlier our targeting roughly 60% of name plate production at Lost Creek translates to 600,000 pounds a year at $50 a pound has been our sweet spot we have been very successful and putting that program in place to protect our shareholder and that will continue to be our objective. Now as we get beyond 20/20 we have only contract in 20/21 and we are now evaluating RFPs are go out years beyond that obviously you have to really way whether or not you want to be committing to pounds. Even it $50 and $55 beyond 20/20 we don’t know where the markets are that’s lets face it Fukushima is not nearly five years in the – here we are in the $35 spot environment. So you can’t get to queue with these things we need and protect our shareholders and will continue to do that.
Geoffrey Scott: Okay second part of the question. For calendar 2016 what is your best guess has to the number of long-term contracts in the total pounds for long-term contracts that the U.S. Nuclear fleet will be looking to sign?
Jeffrey Klenda: What unfortunately that is a question that you can pretty much ask anyone of the analysts on this call. And I think they probably be able to give you a reasonable estimation of that. That's one of things were, if you wanted to send us an e-mail I can pull that from one of our sources and there are projections out there 2016 and if I can put my hands on, I will be happy to forward it to you. But I wouldn't have that number of the top of my head.
Geoffrey Scott: Would be in general agreement with those numbers?
Jeffrey Klenda: I think that right now it depends on who you are reading, there are couple of them are prominent in our industry that provide pricing and market commentary, one tends to be a bit more liberal than the other and the one that is quite conservative is constantly calls for lower pricing and lower levels of activities. So it’s really kind of even in the industry it’s up to us to weight those two and determine which one makes more sense with us and for us and make our decisions in the marketplace accordingly.
Geoffrey Scott: Would you generally be in the – between those two goal posts?
Jeffrey Klenda: Yes, we would I think that the activity level once again, it’s amazing how there was almost no, there was little activity last year in 2014, so you have one prominent utility come out and announce that they have acquired 10 million pounds. And then there was a flurry of activity that occur in the fourth quarter. That’s nothing that either one of those services would have projected or anticipated. But it was a capitalist nonetheless. So those are things that we’re really at the mercy of those appellations in the marketplace and there is not much we can do about that. But in general I think that the utilities will have to become more active in the marketplace. And I think that something that will characterize 2016.
Geoffrey Scott: Okay, thanks for your help. Appreciate it.
Operator: And our final question comes from Graham Tanaka of Tanaka Capital management. Please go ahead.
Graham Tanaka: Congratulations on the quarter. Just first wanted to ask what kind of contract long-term contract pricing do you see currently and if you were go out and lock some in relative to spot? Thanks
Jeffrey Klenda: Right now what we are seeing is that what seems to be the accepted quotation service in the industry at the present time is the new Merico service and it would seem that many of our utility buyers are looking at that that calls for spot of course for current deliveries going out into 2017 and then in 2018 to finally get to term pricing in excess of $44 a pound the current term price, but once again I would say that you need to consider the impact of the traders and their impact on the marketplace, their involvement in the carry trade due to zero interest rate money that’s available to some of them has had an impact. And during times when the activity levels are quite low and trading levels were quite low in the marketplace they can have a significant impact where one trader can move the market up or down significantly. So while the service is calling for the term all the way through the term really beginning and kicking in by the beginning of the 2018 calendar year. It just depends on level of activity in the market and obviously if you're going out beyond 2018 as I mentioned earlier as we are considering additional sales off tick agreements, long-term sales agreements beyond the calendar year 2020, now you are getting upwards $50 into the low and mid 50s dollars price per pound and so. We are hopeful that we are going to see more of that with increased activity in 2016. So thank you very much Graeme, we appreciate the question. And with that ladies and gentlemen, now that was our last question. I really don’t have a great deal of closing comments to make other than while it’s difficult to know what the marketplace is going to value and as one of our callers pointed out, we certainly feel that we are not getting full value, our emphasize has been on production and performance, it will continue to be. We can speak for other players in the industry; they have their own shareholders to answer to. Again we will do as best we can and attempt to act prudently on behalf of our shareholders de-risk our company and make sure that we are around, but one thing that I will emphasize to you is that I firmly believe that with our inventories that we will continue to maintain and our ability to ramp up production in a very short period of time. I would suggest that constitutes the true from of Blue Sky, because if we wake up one-day $65 sport environment and rising, we will be the company that will absolutely bring the cash register first in that environment. So that’s the kind Blue Sky that we intend to maintain. Other than that we’ll just try and work on our efficiencies, our performance and maintain our stable production as a company. With that thank you very much. We appreciate the time that you spent with us today. End of Q&A
Operator: And thank you, sir. Today’s conference has now concluded and we thank you all for attending today’s presentation. You may disconnect your lines and have a great day.